Operator: At this time I would like to welcome everyone to the ManTech first quarter 2008 earnings conference call. (Operator Instructions) Mr. Cormier you may begin the conference.
Joseph Cormier: Thank you and welcome to ManTech International Corporation’s first quarter 2008 earnings conference call.  Again, we thank you for joining us today.  I am Joe Cormier, Vice President of Corporate Development.  Leading today’s call from ManTech is George Pedersen, our Chairman and Chief Executive Officer; Bob Coleman, President and Chief Operating Officer; and Kevin Phillips, Executive Vice President and Chief Financial Officer. In our prepared remarks George will discuss our strategic positioning and outlook for ManTech.  Bob will touch on our operational highlights and Kevin will review our first quarter financial performance and guidance for the second quarter and full-year 2008. Before we begin our discussion it is important that we remind you on this call we will make statements that do not address historical facts and thus are forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to factors that could cause actual results to differ materially from anticipated results and include the risks and uncertainties identified in our earnings press release under the caption “Forward-looking Information.” For a full discussion of these factors and other risks and uncertainties please refer to the section entitled “Risk Factors” in ManTech’s annual report on form 10-K filed with the SEC on March 17, 2008 and in ManTech’s other public filings.  Also, we undertake no obligation to update any of the forward-looking statements made on this call. Now I’d like to turn the call over to George Pedersen.
George Pedersen: We are pleased to discuss our first quarter 2008 financial results.  As you will see from our press release our first quarter operating performance was strong on all fronts, 44% revenue growth, 62% operating income growth, 51% net income growth and 46% EPS growth over last year’s first quarter results. Operating margin was 8.1%, up from 7.3% in the first quarter of 2007.  Our increased forward guidance implies continued operating momentum for 2008 consistent with our historical performance and is based on the robust demand we see for our mission focused services. To augment our organic revenue growth we will continue to pursue strategic acquisitions to enhance our mission capabilities, strengthen our market position and increase our revenue and earnings growth.  We have the financial capacity to execute this plan. As you are well aware, the Congress is considering a major supplemental funding appropriation for the Department of Defense.  Recent information indicates that the House Defense Appropriations Sub-Committee is preparing an FY08 supplemental in the amount of $108 billion.  It has also decided to approve the supplemental funding of $70.9 billion for 2009 in the same appropriations bill. The primary focus of this funding are the conflicts in Iraq and Afghanistan but other requirements will also be included.  As it relates to the FY09 DoD appropriation it is our belief that the 2009 requirements will be funded with a continuing resolution or some other funding mechanism at least until a new administration and new President comes into office. As we have indicated on many occasions, ManTech’s programs seem to receive priority funding and are likely to be the last to face funding cuts if necessary because of the focus on our mission.  We are optimistic that the Congress and the President will resolve these appropriation bills during the month of May.  Our most recent information indicates the supplemental will go directly to the floor next Thursday or Friday.  Both supplementals will go to the floor next Thursday or Friday. We look forward to continued growth in our business throughout 2008 and we look to continue executing in support of our mission, our customers, our employees and you, our shareholders. With that I’d like to turn the call over to Bob Coleman.
Robert Coleman: Overall we are pleased with the first quarter results.  Revenue growth continues to be strong as a result of our 2007/2008 year-to-date bookings and our increased direct labor growth and priority funding position on many of our national security contracts continues to drive our margin improvement. Our investments in business development are also bearing fruit as bookings topped $767 million in Q1.  We are all very pleased with these results and they reflect continued demand for our “mission-critical” solutions and services along with our market position in the high-end intelligence and defense sector. Bookings were the highlight of the quarter coming in at $767 million and driving a book-to-bill ration of 1.8 times.  Of those awards over 35% were from new business or expansion of existing contracts such as our $83 million Naval Warfare Analysis Program, a $70 million add-on to an existing classified program and a $27 million win supporting a new classified customer. The rest of the awards continue to protect and build our business base with large re-compete awards such as the one-year bridge contract for $268 million on our Countermine program. Our qualified pipeline currently stands at approximately $11 billion, up from $10 billion at the end of 2007 and we’re tracking 27 opportunities in our markets that are over $100 million.  Our momentum for the first quarter has continued into the second quarter as we have already booked over $200 million in classified contracts in April. These awards are distributed across many of our capabilities and are consistent with the strategy we have set for the company.  One of our key objectives is to support the President’s Comprehensive National Cyber Security Initiative which is critical to support our national and economic security interests.  This initiative includes well over $10 billion of new funding over the next several years going to several agencies to meet our country’s cyber security challenges. I am pleased to announce that in April ManTech received several strategic cyber security contracts.  These awards validate our status as a market leader in cyber security solutions and position us for significant growth in years to come.  Also in April we submitted our sole source bid for our Countermine program and expect an award of the new contract during the second quarter.  Again, the new contract will have a two-year period of performance taking us into 2010. As I mentioned, our operating margins improved significantly over last year’s first quarter up over 80 basis points in fact.  Several factors contributed to this improvement such as our focus on improving contract profitability, labor utilization and control of overall costs in the business. The most important factor, however, is the increase in our direct labor base of which you’ll recall is up over 600 net adds in 2007.  Through April we have added over 700 employees which has us on track to meet our hiring goals for the year.  We continue to have over 700 open requisitions which demonstrates the strong demand for our services and the strength of our market. Going forward we maintain our focus in “mission-critical” markets yet remain diversified across the intelligence and DoD community.  We are extremely well positioned for continued long-term growth in revenue and earnings.  As a result we have increased our 2008 revenue guidance to $1.735 billion to $1.8 billion and we are now forecasting operating margin of 8.2% to 8.25%. This represents 20-24% revenue growth off our 2007 base and expansions of our 2007 margins.  Kevin will fill you in on the details. In closing, we are excited about our growth prospects for the rest of 2008 and going forward as we continue to leverage our market position to build ManTech into the premier mid-tier national security company. At this point I would like to turn the call over to Kevin.
Kevin Phillips: As you saw on the release the first quarter revenues of over $425 million represents 44% total revenue growth with 19% coming organically for the first quarter compared to last year’s first quarter revenues of $294 million.  Our core markets continue to be strong. We continue to be well positioned in all components of our DoD and intelligence community customer base.  Countermine generated $61 million in revenue in the first quarter consistent with our expectations of at least $240 million in 2008. Contract revenue mix remains relatively unchanged during the quarter.  98% of our revenue came from federal government sources while defense, intelligence, homeland security and law enforcement related businesses comprised 92%.  The proportion of revenues in the quarter coming from contracts billed on a time and materials basis was 64% of revenue.  Fixed price was 14% and cost plus was 22%. As of March 31, total backlog was $3.44 billion and funded backlog grew 24% over last year to $949 million at the end of the first quarter.  This continued strength and funded backlog demonstrates ManTech’s positioning in the center of the nation’s “mission-critical” operations. Our operating profit was $34.6 million in the first quarter which yielded a margin of 8.1% and was up significantly from 7.3% in last year’s first quarter.  This margin was consistent with our expectations for the first quarter and reflects the continued focus in the areas of business operations which Bob highlighted in his remarks. In the first quarter Countermine contributed approximately $2.1 million of operating profit while delivering 3.5% margin.  The rest of ManTech’s core services business delivered approximately a 9% operating margin.  Based on the expanded operating margin our first quarter net income was $19.9 million up 51%. Our effective tax rate for the quarter increased to 39.6% from 39%.  Our performance translated into diluted earnings per share of $0.57 up 46% over last year’s first quarter. Turning to the balance sheet and cash flows, as of March 31 the company had $10 million in cash and $148 million of debt.  Our receivable day sales outstanding at the end of March stood at 74 days.  During the quarter we generated over $15 million in operating cash flow or over 75% conversion to net income. This comes despite the normal payments in the first quarter related to bonuses and other payroll distributions as well as over $10 million in payment delays from one of our customers.  We expect strong cash flows from operations during the remainder of 2008 which will total over $100 million for the year. Focusing now on the guidance in our press release, we have provided our second quarter 2008 guidance and increased our full-year 2008 guidance.  Our second quarter 2008 revenue guidance of $435 million to $$450 million represents 25% to 29% total growth over last year’s second quarter with 12% to 16% coming organically. We are forecasting an operating margin between 8.2% to 8.3%.  Our net income range of $20.8 to $21.8 million results in earnings per share guidance of $0.59 to $0.62 per share on weighted average shares of 35.2 million. This represents 34% to 41% growth over last year’s second quarter earnings per share.  T his guidance assumes interest expense of $1.25 million in the second quarter and a 39.6% effective tax rate. Our full-year 2008 guidance, which does not include any future acquisitions or divestitures of between $1.735 and $1.8 billion, represents 20-24% revenue growth from our 2007 full-year results.  This guidance implies organic growth of 10% to 14% in 2008.  Based on the improvement in operating margins we delivered in the second half of 2007 and our continued headcount growth in openings we are forecasting an operating margin of between 8.2% and 8.25% for the full-year 2008 which is up from the 2008 operating margin of 7.85%. We estimate our 2008 net income to be $83.4 to $87.2 million which results in earnings per share guidance of $2.37 to $2.47 per share based on weighted average shares of 35.25 million.  This earnings per share range represents 22% to 27% growth over the 2007 results of $1.95. Our guidance assumes an overall interest expense of $4.2 million and a 39.6% effective tax rate. In closing, we are excited about the prospects for our business as well and we are operationally well positioned for continued growth in revenues and profits supported by our strong balance sheet and cash flows. Now we will be happy to take calls.
Operator: (Operator Instructions) Your first question comes from Michael Lewis - BB&T Capital Markets.
Michael Lewis: Did you say free cash flow or operating cash flow was around $100 million?
Kevin Phillips: Operating cash flow in excess of $100 million.
Michael Lewis: You said there was a $10 million payment delay from one of your customers.  Did you recoup that yet or do you anticipate recouping that in this quarter?
Kevin Phillips: Yes, it has been approved to pay.  Some of our customers and I think this industry are working through changes in systems as well as processes to improve work flow and this is one of those times where we had a delay but it has been taken care of.
Michael Lewis: George, you have now picked up SRS and McDonald Bradley.  That integration is going forward.  Now what does the M&A outlook look now going forward?  Are you actively looking at new companies out there?
George Pedersen: Yes, we are because we have remaining on our line of credit about $260 million that gives us a lot of opportunity to pursue them.  We have at the present time about three viable candidates that are under review.  We will not know until we go through extensive due diligence but the market is rich with opportunities.
Michael Lewis: You talked about the cyber security initiative.  I was just wondering with regard to the contracts you did win can you give us some specific services that ManTech’s going to be providing to the customer just so we can understand these areas a little better.
Robert Coleman: Mike, I would love to do that.  Unfortunately now that the contracts are awarded they have now become classified and we are not allowed to discuss the types of services we are providing nor the association with the customer.  I apologize but I really can’t get into anything regarding that.  Just that it is cyber war.
Michael Lewis: With regard to the $200 million you won since the beginning of April, what percentage of that was new wins versus re-compete wins?
Robert Coleman: I’d say almost three-fourths to the full amount was new business wins. Not all of it in the cyber sector though but a good chunk of it.
Operator: Your next question comes from Joseph Vafi - Jefferies & Co.
Joseph Vafi: Maybe Kevin, as you looked at your Q2 guidance numbers we are coming off of some really, really big new contract award wins in 2007 and here in 2008.  A good momentum here in Q1 in organic revenue and your guidance here is down a little bit for Q2 organic revenue growth versus what we saw in Q1.  Anything particular there we should be aware of?
Kevin Phillips: No, I think most of that in terms of organic growth is just a function of the comp.  We acquired SRS in May of last year.  The total revenue growth is still strong, over 24% when you include all revenue.  So no specific item driving down that percentage.
Joseph Vafi: I think you mentioned how large Countermine was in the quarter.
Kevin Phillips: $61 million.
Joseph Vafi: Has there been any change here as we get into 2008 on composition of revenue here in the first quarter versus say the last few quarters?  Direct labor versus pass through versus anything else in that $61 million?
Kevin Phillips: Generally if we compare against Q4 our direct labor driven revenues increased by over $10 million yet our ODC and sub-contractor driven revenues decreased.  Now the fluctuation in the ODC again as we have said before is hard to determine because it is mission driven but the headcount growth we’ve seen in the second half of last year as well as the first [inaudible] we’ve given up the direct labor composition of our [inaudible].
Joseph Vafi: Would you expect that mix to stay where it was in Q1 or do you think it might flip-flop back over to more ODC’s?
Kevin Phillips: I believe it will stay at about that level based on the opportunity and the openings we have and the positions we are filling.
Joseph Vafi: On the overall outlook in the labor market right now, obviously you are winning a ton of business and what are the staffing requirements as you look at all these new contracts that are coming on line?
Robert Coleman: We are targeting about 500 net adds for the year is our plan.  Staffing has been strong.  As you can see we have added 170 through April and I would say that we have made a lot of improvements in the recruiting processes and I think we are seeing the benefits of that.  There has been an intense focus on that.  We have viewed this as a production problem and I think that has helped us quite a bit.
Joseph Vafi: Is the weakening economy at all helping you in the hiring area at this point?
Robert Coleman: Not at all.
Operator: Your next question comes from Tim Quillin - Stephens Inc.
Timothy Quillin: On the Countermine contract I think your most recent expectations for revenue for 2008 unless you have changed and I missed it was $240 million and the contract extension is obviously significantly higher than that.  Have you revised the expectations?
Kevin Phillips: The $240 million is what we built into the low end of our guidance range and that is remaining consistent.  What we have done is increased for the full-year the range of revenues to reflect the potential for more variability on the ODC’s as well as some of the labor requirements.
Timothy Quillin: Should we look at it as $240 to $270 million then?
Kevin Phillips: That is reasonable.
Timothy Quillin: Then in terms of the new two-year contract, what is the size of that contract and does that include new activities as well?
Robert Coleman: We obviously do not have that award in hand yet.  We submitted that bid a few weeks ago and we expect that to be in Q2.  We are forecasting $240 million in revenue from Countermine this year and we expect the new award to sustain that level over the next two years. In terms of the increases or the changes in the requirements, again it is continuing to support the different variations of vehicles coming into the theater, the Class 1, 2 and 3 MRAPs and the route clearing vehicles and we have added I think another location to it.
Timothy Quillin: Kevin, can you break out also the revenue from RSC and [JERV] and are those margins consistent with the 3.5% at Countermine?
Kevin Phillips: The [JERV] revenue for the quarter was slightly over $14 million and the RSC revenue was about $31 million.  The margins on both of those are higher.  RSC is not too much higher but they are both higher because they have a little bit higher labor component.
Operator: Your next question comes from Ed Caso - Wachovia.
Edward Caso: Your voluntary turnover in the quarter was what?
Kevin Phillips: 20%, that is about what we are averaging.
Edward Caso: Of the terrific bookings number you have this quarter how much of that was new business?
Kevin Phillips: I think about 35% was new business and contract add ons.
Edward Caso: In the fourth quarter you had a software gain.  Is there anything special in the current quarter?
Kevin Phillips: No.  Nothing like that in the current quarter.
Edward Caso: Maybe you could frame for me your sensitivity to Iraq in general.  It looks to be there is commitment to Afghanistan from both sides of the aisle but if the administration does change stripes there will be some case of withdrawal and I’m just curious how directly associated you are with either Iraq or the war supplemental?  Can you just give us some framework?
Kevin Phillips: In terms of DL we have about 500 people in theater in Iraq and Afghanistan.  I think from ManTech’s perspective we do a lot of the infrastructure work so that is always the first thing to be put in and the last thing to come out in the event of a withdrawal.  But also now we are supporting the scorch protection mission if you will through the MRAPs and the Countermine program. So that will all be one of the last things to come out of the area.  I think what you need to pay attention to also is the fact we are over there positions us for opportunities that we would not see otherwise such as some NATO bids we are going after and we have submitted, and then of course I might have mentioned on the last call a SECOR ISR system that is going in over there that is a well-funded program and will go on for a few years and we feel well positioned to receive that award as well.
George Pedersen: I don’t think anybody has yet fashioned a plan to withdraw or end the Iraq issue.  I think that will come in the next administration.  I think from a positive point of view is that Congress is moving forward with the two appropriations supplemental that I just talked about including a 2009 advance of $70 billion which I have never seen before. So whatever changes are going to come, and they will come obviously, it is down to [inaudible].
Edward Caso: George your expectation is by Memorial Day to get it all done?
George Pedersen: They are saying that by Memorial Day those two supplementals will be completed indeed.  They are hoping to have it done by next Thursday or Friday.  By the way, that is within the House and Senate.  Then it has to go to the President, obviously.  I’m not saying it is going to be signed by next Thursday or Friday, but the actions in the Congress is expected to be completed by then.
Edward Caso: George, how much do you think they are going to hang on that [wick] stuff for other domestic initiatives that might keep the President from signing it?
George Pedersen: I can’t answer that.  There are a lot of discussions on both sides of the aisle and some of the expectations are probably beyond what the President might accept.  But I don’t think you can see a clear answer to that.  The process is changing this year.  They are going directly to the House floor so I have to tell you I cannot forecast it for you at this point.
Operator: Your next question comes from Mark Jordan - Noble Financial Group.
Mark Jordan: You mentioned you have 500 people in theater in Iraq and Afghanistan.  What is the number of employees you have in other international posts in addition to that 500?
Kevin Phillips: We are probably in total around 700 total deployed overseas in all areas.
George Pedersen: We are in 40 countries as we have told you before.  I don’t know that number.  Bob is that approximately correct?
Robert Coleman: 700 is correct.
Mark Jordan: On the Countermine RFP, do you know what level of competition you face number one?  Two, is there any change in pricing or opportunity to get a better yield out of this vehicle when it has been renewed?  Finally, when awarded will it immediately superseded the bridge or will it be tacked on to the end of that authorization?
Robert Coleman: Mark, with regard to the bid we don’t anticipate any material change in the margins on the new Countermine program and obviously we don’t have that thing in hand and once we do we will be able to lay it out and assess really what is going on and if there is anything of impact obviously we will let you know.  I think we would expect some increases in DL going forward and I’m going to give Kevin the opportunity to comment as well.
Kevin Phillips: Mark I would just note that it is sole source so competition is limited to the best of our knowledge.  But having said that there are a lot of requirements the government may have. It is very hard for us to know when they will happen, how they will happen and as Bob said there is potential for increased labor.  It totally depends on the missions and the timing of the missions in the future.
Robert Coleman: You asked about superseding the other contract.  I think obviously there is requirements flowing on the existing contract that will take some time as they ramp up the new contract.  So you’ll probably see full ramp up by Q4 on the new contract potentially?
Kevin Phillips: There is the potential for our JERV program to roll in with this as well we think.
Operator: Your next question comes from Greg Wowkun - Banc of America.
Gregory Wowkun: George you highlighted you were looking at three additional acquisitions.  Which strategic areas should we be thinking about?
George Pedersen: We are staying in the lane that we carved out five years ago, the high-end defense, high end Intel.  You’ve heard the word many times before.  Where there is a very significant mission and particularly those areas with very high security [inaudible].
Gregory Wowkun: Just a follow-up on MBI in terms of tracking in line or ahead of your expectations?
George Pedersen: They are doing very, very well.  Both of them, SRS and MBI are doing very, very well.  MBI is very early in the process but we are very pleased with both of them.
Robert Coleman: MBI, some of those contract awards were late in Q4 and they are currently ramping up on those programs right now but we are confident they will meet their forecast for the year.
Operator: Your next question comes from [Gotham Kahana] - Cowen.
[Gotham Kahana]: Could you update us on your major re-competes this year?
Robert Coleman: Now that Countermine is out of the way there is very low risk of re-competes for the remainder of the year.  I think it is less than 5%.  We have I think GITM hanging out there.  We just had our orals yesterday.  We feel very well positioned.  This is a different part of the State Department than some of our other work and we also had one of our major competitors become a teammate which I think reflects the strength of our success in that area.
[Gotham Kahana]: Is there any update on the NASA protest?
George Pedersen: The decision has been made.  The protest decision went against us and the current negotiation with the government is we will transition the contract to another firm on May 14.  We are examining additional legal options on this situation because we have a total disagreement with the decision.
[Gotham Kahana]: Also on the Countermine I know you haven’t formally received the new award but some of the language on the solicitation called for transitioning some of the work you are doing to the Army itself over time.  What is the latest thinking there?  Is there a chance we’ll see a ramp down as soon as we get this contract?
Robert Coleman: These vehicles aren’t programs or record in the Army and only just support for them.  We use a proprietary software called Log Master that we have developed and using that software we have been able to maintain about a 90% availability in theater which I think is outstanding considering the fact there are other companies out there doing this work that aren’t as successful. There is over 6,000 parts associated with these vehicles and I think until you have sat down and looked at this closely and realized the magnitude of the transition that they are far more complicated.  Know that maybe they want to go that way but we think it will be a while before they actually could put something in place for that. They also have a lot of focus on supporting other MRAP’s that are coming into theater as well provided by the OEM’s and getting that logistics and supply chain going and the fact that they have to solve that issue and our systems are working at 90% availability may delay the conversion.
[Gotham Kahana]: Lastly, just looking at the revenues Q4 to Q1 I think it was up 1% or so and obviously Countermine was a source of the variant to the downside.  But we had a leap year.  Was there anything that went away?  [inaudible] a little bit bigger and the bottom end of your guidance.  Was there anything you were counting on that slipped to the right?
Kevin Phillips: The answer is no.  It is just the timing of ODC’s and their own contracts other than Countermine as well.  As I said before our labor driven revenues have increased and we are in line with what we expected.  A lot of this is just the timing of when ODC requirements on many contracts occur.
Operator: Your next question comes from Bill Loomis - Stifel Nicolaus.
William Loomis: Looking at the RLS contract we see some good sequential growth since we got the real word on that.  Where is that?  Which areas is that growing?  Is that Korea or the Middle East?  Which areas show the biggest growth rate?
Kevin Phillips: I believe most of the growth is in the U.S. and CONUS.  I can’t give you a split as to where within CONUS that is happening.  I don’t know.
William Loomis: Then you had in the contract this quarter it looks like it got back to where it was back in 2005 before it started to drop off before the re-compete.  Do you see it continuing to grow at the sequential pace?  Or is it near a level where we can expect?
Kevin Phillips: I would expect built in about $110 million minimum and it is running obviously slightly higher than that.  So, I think it is going to level off at this. But again based on mission requirements it is hard to tell.
William Loomis: Countermine, the margins there have been the highest it has been in a couple of years.  I assume that is because of the higher direct labor content as the revenues do start tracking up to $70 million or so?  We can expect margins more in line with what they were last year on Countermine?
Kevin Phillips: There is more labor requirement as more systems are field and that is driving the increased margin.
William Loomis: When you say your $240 or $270 range you are assuming generally speaking that is going to be a little bit lower margin than what we saw in the first quarter?  Because it is going to have more ODC’s or not?
Kevin Phillips: Slightly less, yes. I say that because we may also have more systems to support as well which would be a labor driven increase but it won’t be ratable.
William Loomis: Then when you talk about your cyber wins at $10 billion. Are you talking about specifically being contracted out of the Air Force Cyber Command?  Or is that more generic language on the cyber work you are seeing?
Robert Coleman: No it is more generic language.  We are not talking specifically about Cyber Command.  We’re talking about the National Cyber Initiative which touches a lot of different agencies and like I said the funding is expected to be upwards of $10 billion.  Between $10 and $20 billion.  The specific cyber award was [SWRL pop] that we won.
Operator: That will conclude our question-and-answer session.
Robert Coleman: We have none.